Operator: Greetings, and welcome to the Laser Photonics First Quarter 2024 Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brian Siegel, Investor Relations. Thank you, sir. You may begin. 
Brian Siegel: Thank you, operator. With me today are Wayne Tupuola, Laser Photonics CEO; and Carlos Sardinas, the company's VP of Finance. Any forward-looking statements made during this conference call, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those that the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports the company periodically files with the SEC. Laser Photonics assumes no obligation to either update any forward-looking statements that are made or may make or update the factors that may cause actual results to differ materially from those that they forecast.
 I will now turn the conference over to Wayne, Laser Photonics Chief Executive Officer. 
Wayne Tupuola: Good morning, ladies and gentlemen. Thank you for joining us. This morning, we reported First Quarter 2024 results. Revenue grew by double digits. Our operating losses improved by 39% and our net loss and loss per share improved by 57%. Our CleanTech line represented over 80% of units shipped. Over the past year, we've invested in sales and marketing resources to spread awareness and educate a broader set of potential customers on the numerous applications for CleanTech. In addition, as an innovation-driven company, we've continued to invest in R&D and product development to remain ahead of the competition. 
 As I mentioned on our last call, we plan to introduce several new product lines this year as well as the next-generation clean tech line. We believe that new features we've announced and industry-specific products will help accelerate sales growth and continue to provide us with a technological advanced over competition. Additionally, we plan to focus on operational excellence, specifically in our manufacturing operations. 
 Throughout the year, we plan to refine our manufacturing processes and identify cost efficiencies in order to reduce our cost of goods sold as we scale. From a distribution partner standpoint, we announced distribution partnerships with Fastenal for the industrial market and ISL for defense applications. We have high hopes for these channels and expect to see the benefits of these relationships play out over the next 12 to 18 months. 
 Additionally, we announced our partnership with Brokk, a leader in providing robots for the demolition market. We will be integrating our CleanTech technology into the robots, and we see significant opportunities in their end markets, especially nuclear decommissioning, where robots become contaminated and have to be replaced on a semi-regular basis. 
 In summary, with our new products, distribution and technology partnerships and increased sales and marketing efforts, we have built an estimated pipeline of over $70 million. While this won't all close this year, we believe it sets us up for improved results in 2024 and beyond and bodes well for our medium- to long-term growth prospects. That concludes my prepared remarks for today. 
 Now we turn to our VP of Finance, Carlos Sardinas for Q1 financials. 
Carlos S. Sardinas: Thank you, Wayne. Moving to our financials. Revenue grew 9.9% to $0.7 million. While CleanTech made up over 80% of our mix, our gross margin declined by 810 basis points to 52% due to more CleanTech sales coming in at the lower end of the power spectrum. As Wayne mentioned, we are prioritizing improving our manufacturing and procurement processes to enhance our gross margin profile. The good news is that our GAAP operating loss decreased 39% to $0.5 million, mainly due to lower expenses related to being a public company. The improved operating margins helped drive a 57% improvement in net income and loss per share, which came in at $0.5 million and $0.05, respectively. Our share count also increased significantly versus last year due to acquisitions of various licenses from Fonon. 
 With that, operator, we can now close the call. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.